Operator: Welcome to Evogene's Third Quarter 2025 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded in November 20, 2025. Before we begin, we'd like to caution that certain statements made during this earnings conference call by Evogene's management will constitute forward-looking statements that relate to future events. This presentation contains forward-looking statements relating to future events and Evogene Ltd, the company may from time to time make other statements regarding our outlook or expectation for future financial or operating results and/or other matters regarding or affecting us that are considered forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995, the PSLRA, and other securities laws as demand. Statements that are not statements or historical fact may be deemed to be forward-looking statements. Such forward-looking statements may be identified by the use of such words as believe, expect, anticipate, should, plan, estimate, intend and potential or words of similar meaning. We are using forward-looking statements in this presentation when we discuss our value drivers, commercializations, efforts and timing, product development and launches, estimate market sizes and milestones pipeline as well as our capabilities and technology. Such statements are based on current expectations, estimates, projections and assumptions described opinions about future events, involve certain risks and uncertainties, which are difficult to predict and are not guarantees of future performance. Readers are cautioned that certain important factors may affect the company's actual results and could cause such results to differ materially from any forward-looking statement that may be made in this presentation. Therefore, actual future results, performance or achievements, and trends in the future may differ materially from what is expressed or implied by such forward-looking statements, due to a variety of factors, many of which are beyond our control, including without limitation, the current war between Israel and Hamas and any other adverse impact that it may have on economic activity in Israel, due to the calling up of a large number of reserve soldiers or the incurrence of debt to pay for the high cost of the war and any accompanying future uncertainties for the security of the company's operations in Southern Israel, as well as those additional factors described in greater detail in Evogene's annual report on Form 20-F and in other reports Evogene files with and furnishes to the Israel Securities Authorities and the U.S. Securities and Exchange Commission, including those factors under the heading, Risk Factors. Expect as required by applicable securities law, we disclaim any obligation or commitment to update any information contained in this presentation or to publicly release the results of any revisions to any statement that may be made to reflect future events and developments or changes in expectations, estimates, projections and assumptions. The information contained herein does not constitute a prospectus or other offering documents, nor does it constitute or form part of any invitation or offer to sell, or any solicitation of any invitation or offer to purchase or subscribe for, any securities of the company, nor shall the information or any part of it or the fact of its distribution from the basis of, or be relied on in connection with, any action, contract or commitment relating thereto or to securities of the company. The trademarks include herein are the property of the owners thereof and are used for reference purposes only. Such use should not be construed as an endorsement of our product or services. With us on the line will be Ofer Haviv, President and CEO of Evogene; and Yaron Eldad, CFO of Evogene. Now I will turn the call over to Ofer Haviv. Mr. Haviv, please go ahead.
Ofer Haviv: Thank you for joining Evogene's Third Quarter 2025 Analyst Call. In today's call, I'd like to focus on the company's new strategy. which I partly shared at our previous quarterly calls and its current implementation. I will also provide an update on our expectation to start breaking the business benefits of the strategic shift over the coming year. Following my remarks, our CFO, Yaron Eldad will present the financial results, and we will then open the call for questions. But as usual, I will start with the financial highlights. During the first 9 months ending September 30, 2025, Evogene advanced its strategic transition towards establishing itself as a leader in computational chemistry, with a focus on the generative design of small molecules for the pharmaceutical and agriculture industries. As part of this new strategy, the company executed an organizational change and cost reduction plan, most of which was completed by the end of the second quarter. The impact of these measures is reflected in the third quarter results, with total operating expenses, net, of approximately $2.9 million compared to $6.6 million in the same period of 2024. This new expense level is expected to be maintained going forward. The financial results of Lavie Bio, Evogene's subsidiary, for the 9- and 3-month ending September 30, 2025, are presented as a single-line item in Evogene's consolidated P&L statement for 2025. Its results are including under the line titled: income or loss from discontinued operations net, this accounting presentation includes the sale of the majority of Lavie Bio's activities to ICL, which was completed in July 2025, and together with the sale of MicroBoost for Ag, generated income of approximately $7.9 million in the third quarter of 2025. In the 9 months ending September 30, 2025, revenues amounted to approximately $3.5 million, compared to $4 million in the same period last year. The decrease was primarily driven by lower revenue from AgPlenus' activity, which included a onetime payment from Bayer during the first quarter of 2024, partially offset by an increase in seed sales generated by Casterra. Total research and development expenses in the 9 months ending September 30, 2025, were approximately $5.9 million, compared to approximately $9.8 million in the same period of 2024. The decrease is primarily attributed to a reduction in Biomica's and Evogene R&D activities and the discontinuation of Canonic's operations. Sales and marketing expenses in the 9 months ending September 30, 2025, totaled approximately $1.1 million, compared to approximately $1.6 million in the same period of 2024. The decrease is mainly due to reduction in headcount across the subsidiaries. In the 9 months ending September 30, 2025, total operating loss was approximately $8.8 million, compared to approximately $15.3 million in the same period of 2024. This decrease is mainly due to the decrease in the subsidiaries' and Evogene's activity. As of the end of the third quarter of 2025, the company's cash and short-term bank deposit balance was approximately $16 million. This cash balance reflects the proceeds from the sale of Lavie Bio's assets and the MicroBoost AI for Ag tech-engine to ICL. The following are the business highlights of our subsidiary and related parties in the past quarter. Lavie Bio completed the transfer of its team and the majority of its activity to ICL. Its collaboration agreement with an existing partner continues with positive results. The distribution of funds to its shareholders with Evogene as the majority holder is advancing. No additional activities are expected. Biomica's clinical trial continues according to plan and is expected to be completed in early 2026. Currently, only one patient is in the trial and the efforts to secure partners to lead Biomica's current development program continue. No additional activity are expected. Last week, Casterra partnered with Fantini to advance agricultural mechanization for scalable commercial castor farming. The collaboration focus on integrating high-yield castor varieties with advanced mechanized solutions, including harvesting and threshing technologies. In addition, the company is investing efforts in strengthening its position in Brazil's castor farming ecosystem. AgPlenus underwent organizational restructuring, including the completion of workforce reductions. Evogene's related party, Finally Food, which drove the casein in protein in potatoes, announced raising $1.2 million led by CBC Group and signed a commercial agreement with it. Now I would like to continue with Evogene new strategy and its implementation, which includes AgPlenus' activity for the agriculture industry. The following slides reflect Evogene's new messaging and appearance supporting its new strategy. At Evogene, we are on an ongoing mission to redefine the future of science and business. By harnessing the power of our proprietary generative AI tech-engine, ChemPass AI, we designed novel groundbreaking small molecules, highly potent and precisely optimized across multiple parameters to transform the pharmaceutical and ag-chemical industries. Our goal is not just innovation, but meaningful beneficial impact for our world. Headlining this slide is the phrase real-world innovation. What do we mean by it? One of the greatest challenges in developing product in life sciences, from pharmaceuticals to ag-chemicals is the gap between real-word challenges and innovative scientific discovery. Anyone involved in life science product development knows this challenge well. It's reflected in the high failure rate of product that start full of innovative promise, but ultimately fall short of one or more critical criteria that often emerge only in later stages of development. We believe now is the time for change, for bridging the gap between innovation and real-world impact. The key lies in harnessing the possibilities of the computational revolution, transforming our word and above all, in unlocking the power of AI. Today's computational capabilities allows for simultaneous analysis of countless parameters, achieving a level of scientific depth that was once behind reach. They empower us to design solutions that integrate scientific innovation with commercial viabilities, pushing beyond the limits of traditional trial-and-error product development. Computational technology serve as the bridge connecting scientific discovery to commercial success. And this is exactly what we focus on. We call our approach real-world innovation. Evogene is structured on three interconnected pillars: our groundbreaking Gen AI best technology, ChemPass AI, which serve as the competitive advantage for our offering in the pharmaceutical and agriculture industries; second, our established activity in agriculture through our subsidiary, AgPlenus, where we have already achieved results in collaboration with leading global companies in the development of ag-chemical product; and our recent expansion into the pharma industry where ChemPass AI significantly increased the likelihood of the discovery of novel molecules with the highest potential to become breakthrough commercial drugs. I will begin with brief introduction to ChemPass AI, which is at the core of our operations. To understand the unique value of ChemPass AI, it is essential to consider the background of the product development process and its inherent challenges. Here is a simplified overview of how a small molecule product such as drug or pesticides is developed. It started with identifying the target protein we aim to inhibit, followed by searching for a chemical molecules capable of binding to it from an almost infinite number of possibilities. During the discovery and optimization phase, the objective is to design the most promising candidate for advancement into the next stage of development. These later stages are time consuming and costly, so choosing wisely early on is crucial. It's also worth noting that once these advanced stages are reached, the chemical structure of the molecules is basically set. This is the version that hopefully will eventually make it all the way to market. Therefore, very early in the process right after optimization, we commit to the molecule, we believe has the highest probability of becoming the final product. The outcome of this process is often frustrating. Statistically, only a small fraction of promising molecules that make it into advanced development actually reach the market. Success rates are usually somewhere between 3% and 10%, depending on the industry. This naturally raised the question what caused the success rate to be so low? And major reasons for low success rate is that a product must meet many often conflicting parameters to reach commercialization. Traditional methods for selecting molecules and addressing multiple parameters are very limited as a result early development usually optimize only a few parameters, one parameter at a time, creating a major bottleneck to commercial success. Overcoming this challenge present a significant strategic opportunity. Today, advancing computational technologies allowed for the simultaneous optimization of multiple parameters with the potential to greatly improve development efficiency and success rate. That brings us to ChemPass AI, the cutting-edge tech-engine developed here at Evogene, built to transform the way we design small molecules that are precisely tailored to specific target proteins. What makes our approach truly unique is not just the molecules we design, but the intelligence behind them, each molecule must overcome a complex web of scientific, regulatory and commercial challenges. To become real product, a molecule has to do more than just work, it must excel across multiple dimensions simultaneously. And that's exactly what ChemPass AI was built to achieve. Our engine designed molecules that meet three critical requirements: high potency, molecules that strongly and effectively modulate their target protein; novelty, expanding into novel chemical space, ensuring the creation of strong, defensible intellectual property; and multiparameter excellence, molecules that perform across the many requirements needed for the real-world commercial success. With ChemPass AI, we are not just designing molecules, we are designing the next generation of breakthrough products, closing the gap between innovation and market impact. That's the power and the promise of ChemPass AI. We are advancing a multiyear development program continuously adding new capabilities to our generative AI tech-engine. As a result, the number of parameters we can address keeps growing and the precision of the molecules designed to meet the required criteria continues to improve. The more the system is used, the smarter and more accurate it becomes. To accelerate ChemPass AI development process, we are collaborating with major technology companies such as Google Cloud as disclosed in May this year, and we intend to continue doing so. Additionally, we intend to explore the possibility of making certain parts of our technology accessible to researchers through such companies, which have a broad market reach. Of course, we will be happy to update you on these developments in the future. Our vision comes to life through the technology we have developed. Now I'd like to present the implementation of our technology through our agriculture and pharma activities. Starting with agriculture, a field we entered back in 2018 through the establishment of our subsidiary, AgPlenus. Since then, AgPlenus has achieved significant milestones, including strategic collaborations with leading industry players such as Bayer and Corteva. Agriculture is a huge global market valued in 2024 at $79 billion, including three main segments: herbicides, insecticides and fungicides. A single product in this space can generate anywhere from hundreds of millions to billions of dollars in sales annually. The industry is in great need of new products, yet developing them comes with significant challenges, an increase in pest resistance and regulatory requirements, an urgent need for new mode of action and the decreased rate in discovery of new pesticides due to lack of innovation. To address the challenges of developing new products in ag-chemistry, revolutionary technologies are needed. Computational chemistry can drive real-world impact in agriculture. And this is the mission of AgPlenus, Evogene's wholly owned subsidiary. AgPlenus discovered and optimized candidate for crop-protection products and has a robust product development pipeline through collaborations with leading global agriculture companies as well as internally founded programs. We are very proud of AgPlenus' achievements reflected in its strategic collaboration with two world-leading companies, Bayer and Corteva. Both collaborations focused on developing new herbicides, each targeting a different protein that represent a novel mode of action. This innovation is essential to addressing the growing resistance of pest to existing solutions. The plant images shown in this slide clearly demonstrates the effect of the small molecules being advanced through those collaborations. AgPlenus is also advancing independent projects within its internal pipeline. Its main focus today is on developing fungicide candidates against Septoria, a fungus causing major damage to field crops, especially wheat. AgPlenus already has several small molecules showing very promising results in lab test, which are now moving to greenhouse trials to test their performance on plants. Looking ahead, AgPlenus plans to further strengthen and expand its collaboration with existing partners, establish new partnerships, leveraging AgPlenus' pipeline innovations and broaden the scope of programs within its internal development portfolio. These initiatives are expected to generate cash inflows for the company through upfront payment, R&D reimbursement and as our products advance through development, milestone payment and potential royalties. We look forward to providing further update on both collaborative efforts and internal pipeline progress. Now I will continue with our efforts to capture the value of our tech engine, ChemPass AI, in the pharma industry, focusing on the market segment of drugs based on small molecules. While small molecules-based drugs such a lucrative opportunity, and why do we believe now is the right time to leverage our technology for it. Small molecule-based drugs represent nearly 60% of the global pharmaceutical market, valued at approximately $780 billion. Even more exciting is the current momentum of AI designed small molecules that are advancing through various companies' pipelines. More than 60 new candidates with an expected annual growth rate exceeding 150%. This rapid expansion is expected to drive the AI drug discovery market to nearly $190 billion by 2034. As I previously mentioned, the traditional process of developing drug based on a small molecule is expensive, lengthy and has a low success rate. This slide illustrates the high numbers of failure that occur during the transition from one stage of clinical trial to the next. We expect that the smart use of our tech engines, ChemPass AI, will lead to the initiation of clinical trials for a highly active, innovative small molecules, which most importantly, meet the maximum number of the defined drugs key parameters. As a result, we expect the probability of successfully progressing from one development stage to the next to improve, and the number of candidates that complete the development process and became successful commercial product will increase significantly. To capture the value of ChemPass AI offering in pharma, our business strategy is designed to maximize potential while minimizing risk. We hope to partner with leaders in pharma, biotech companies and academia that bring domain-specific knowledge, forming collaboration agreements. Through this strategic alliance, we aim to co-develop innovative products. The expected upside for Evogene stems from R&D fees, milestone payment and revenue sharing mechanism of the end product. In August, our Pharma division announced a collaboration with Professor Ehud Gazit of Tel Aviv University to develop new therapeutics for metabolic disease linked to the self-assembly of small metabolites such as tyrosinemia and gout. The partnership combines Evogene's ChemPass AI generative design platform with Professor Gazit expertise in molecular self-assembly to discover and optimize novel small molecules that can inhibit harmful metabolite aggregation. This collaboration aims to accelerate the development of first-in-class therapies that addresses the underlying molecular causes of accumulated metabolic disease offering new hope to patients worldwide. This collaboration exemplifies the type of strategic partnership we are pursuing, leveraging Evogene's advanced computational capabilities alongside existing scientific knowledge to create meaningful synergies that can drive breakthrough discoveries in drug development. Over the coming year, we expect to announce additional collaborations of this nature, further strengthening Evogene's position in this field and enhancing recognition of our unique technological edge. We believe such partnership will provide the validation and visibility needed to enable broader and more complex collaboration with leading biotech and pharmaceutical companies, opening new growth opportunities for Evogene. We look forward to providing future updates on our collaborative efforts. To summarize Evogene's strategy, we are using ChemPass AI, which is at the core of our offering and our main competitive advantage to drive real-world innovation for two strategic markets. Pharma for the development of small molecule-based drugs, agriculture for the development of crop protection chemicals. To realize this vision, we operate through Pharma division focused on pharmaceutical applications and through our wholly owned subsidiaries, AgPlenus, focused on ag-chemical solutions. Each develops its product either in collaboration with leading global companies or independently. In the near future, we expect the following: Continuing to strengthen and expand ChemPass AI and maintaining our technological edge, signing additional collaboration agreement with biotech and later on with pharma partners for small molecule drug development, and expanding collaboration with existing and new leading ag-chem companies while growing AgPlenus' internal crop protection pipeline. With this, I conclude my part, and I will now hand the call to our CFO, Yaron Eldad, to present the financial results.
Yaron Eldad: Thank you, Ofer. The financial results for the first 9 months of 2025 and the capital gain of Lavie Bio, a subsidiary of Evogene, are presented as a single line item in Evogene's consolidated P&L statement for the first 9 months of 2025. Its results are included under the line titled: income or loss from discontinued operations. This accounting treatment reflects the classification of Lavie Bio's operations and its capital gain as discontinued following the sale of the majority of its activities to ICL which was completed in July 2025. During the first half of 2025, Evogene implemented a cost reduction plan, most of which was completed by the end of the second quarter. The impact of these reductions is reflected in the first 9 months results. As of September 30, 2025, Evogene held cash, cash equivalents and short-term bank deposits of approximately $16 million. The consolidated cash usage during the third quarter of 2025, excluding the cash generated from the sale of the majority of Lavie Bio's assets and the sale of MicroBoost AI for Ag to ICL was approximately $3.5 million. Excluding Lavie Bio and Biomica, Evogene and its other subsidiaries used approximately $2.3 million in cash during the third quarter of 2025. Revenues for the 9 months of 2025 were approximately $3.5 million, compared to approximately $4 million on the same period the previous year, reflecting a decrease of approximately $0.5 million. The decrease was primarily driven by lower revenue recognized from AgPlenus' activity, which included onetime payment from Bayer during the first quarter of 2024. And revenues recognized from the collaboration agreement with Corteva, partially offset by an increase in seed sales generated by Casterra during the first quarter of 2025. Revenues for the third quarter of 2025 were approximately $300,000, a decrease compared to approximately $1.7 million in the same period last year. The decrease was mainly due to reduced seed sales generated by Casterra during the third quarter of 2025. Research and development expenses, net of non-refundable grants, for the 9 months of 2025 were approximately $6.2 million, a decrease of approximately $3.6 million compared to $9.8 million in the 9 months of 2024. The decrease was primarily due to reduced R&D expenses in Biomica, and the cessation of Canonic's operation at the beginning of 2024. In the third quarter of 2025, R&D expenses were approximately $1.4 million, down from approximately $3.3 million in the same period of 2024. This decrease is mainly attributed to decreased expenses in Biomica. Sales and marketing expenses for the 9 months of 2025 were approximately $1.2 million, a decrease of approximately $400,000 compared to approximately $1.6 million in the same period last year. The decrease was mainly due to reduction in Evogene, AgPlenus and Biomica personnel costs. Sales and marketing expenses for the third quarter of 2025 were approximately $400,000, reflecting a slight decrease of approximately $100,000 compared to approximately $500,000 in the third quarter of 2024. General and administrative expenses for the 9 months of 2025, decreased to approximately $3.4 million from approximately $5.7 million in the same period last year. This decrease is mainly attributable to expenses recorded during the 9 months period of 2024, and related to a provision for doubtful debt for one of Casterra's seed suppliers as well as transaction costs associated with Evogene's fundraising in August 2024. General and administrative expenses for the third quarter of 2025 decreased to approximately $1.1 million compared to approximately $2.8 million in the same period of the previous year, primarily due to decreased expenses in Casterra and Evogene as mentioned above. Other income of approximately $200,000 was recorded in the first quarter of 2025 as part of the accounting treatment related to a sublease agreement. The decision to cease Canonic's operation in the first half of 2024 resulted in other expenses of approximately $500,000, primarily due to impairment of fixed assets recorded in the first quarter of 2024. The operating loss for the 9 months of 2025 was approximately $8.8 million, a significant decrease from approximately $15.3 million in the same period of the previous year, mainly due to the decreased operating expenses, partially offset by the decreased revenues as mentioned above. The operating loss for the third quarter of 2025 was approximately $2.7 million, a decrease from approximately $5.9 million in the same period of the previous year, primarily due to the decreased operating expenses, partially offset by decreased revenues as mentioned above. Financing income net for the 9 months of 2025 was approximately $744,000 compared to financing expenses net, of $448,000 in the same period of the previous year. The increase in financing income is mainly associated with accounting treatment of pre-funded warrants and warrants issued in August 2024 fundraising. As a result, during the 9 months of 2025, the company recorded financial income, net, related to pre-funded warrants and warrants of approximately $674,000, as compared to financing expenses, net, of approximately $881,000 in the same period of 2024. Financing income net, for the third quarter of 2025 was approximately $12,000, compared to financing expenses net of approximately $821,000 in the same period of the previous year. The increase in financing income is mainly associated with accounting treatment of pre-funded warrants and warrants issued in August '24, fundraising as mentioned above. Income from discontinued operations net, for the 9 months of 2025, was approximately $5.7 million, compared to a loss of approximately $2.2 million in the same period of 2024. For the third quarter of 2025, income from discontinued operations net, was approximately $7.9 million, compared to a loss of approximately $1.5 million in the quarter of the previous year. This amount primarily reflect the financial results of Lavie Bio and expenses related to the development and maintenance of MicroBoost AI for Ag, which are presented as a single-line item in the consolidated statement of profit and loss. Following the sale of the majority of Lavie Bio's assets as well as Evogene's MicroBoost AI for Ag to ICL, the company recognized a gain on sale of approximately $6.4 million which is also included in the income or loss from discontinued operations net, for the 9 months and 3 months period ended September 2025. All prior period amounts have been reclassified to conform to this presentation. The net loss for the 9 months of 2025 was approximately $2.5 million, compared to approximately $18 million in the same period last year. The $15.5 million decrease in net loss was primarily due to decreased operating expenses, income derived from discontinued operations due to the asset sale to ICL net, and increased financial income net, partially offset by reduced revenues. The net income for the third quarter of 2025 was approximately $5.2 million, compared to a net loss of approximately $8.2 million in the same period last year. This improvement was primarily due to income derived from discontinued operations net, due to the asset sale to ICL, decreased operating expenses and increased financing income net, partially offset by reduced revenues net, as mentioned above. Operator?
Operator: [Operator Instructions] The first question, has the levels of interest in AI ChemPass increased post the recent NVIDIA and Eli Lilly AI drug discovery partnership. Also, could you please elaborate why Evogene's proprietary database should garner similar interest from others in pharma and technology industries?
Ofer Haviv: Thank you for this question. This is Ofer. So I think that the announcement coming from NVIDIA and Eli Lilly definitely increase the interest and the traffic in shares in companies that are related to AI activity for the pharma industry. But I have to say that, I think that we didn't need even this announcement to generate interest. I think this is one of the hottest areas these days in the pharma world. And I think that this is really just the beginning of this new area of activity, and it's here to stay. With respect to Evogene, and I think that we are operating something very unique. I can share with you that we participate in a conference in Europe last month, and we see increased interest in what we are presenting to potential partners. It's -- I think we are already 1 year in this area of presenting our ChemPass technology for the pharma industry, and we see increasing interest in what we are doing. And we shouldn't forget that in the ag industry, we already have a significant collaboration agreement with Bio and Corteva, which you can imagine that they validate our technology before they engage in this collaboration agreement. What is unique about Evogene, from my perspective, this multiparameter approach, it's one. Then the second is that in Evogene, the people that are working in the computational -- ag part -- in computational division, they have a PhD degree in genomics. And this is the type of people that can design for scratch an AI tech-engine, and this is what is called foundation model. And we did it together with the Google team and we succeed to create a very unique dedicated AI engine that from the beginning, it was designed for a small molecule discovery and optimization. This is something that is not existing in other places. And in addition, the way that we are utilizing our technology, while we integrate every piece of information coming from our partners, it also puts us in a very different position compared to other companies because we don't believe in a one-size-fit-all approach, where you're developing the specific technology and you are using it for all the company, the same way. In our case, we modified the technology for each partner according to the specific need of the specific -in a program we are engaged. So yes, it might take a little bit longer, but the performance of what we deliver is expected to be much higher than the approach of one-size-fit-all. So I think that our technology is offering something different. And as time is going by, and we have more and more meetings with potential partners, our belief is getting stronger and stronger that we are coming with something which other company is not offering these days.
Operator: The next question, how close are you to unlocking partners with AI ChemPass?
Ofer Haviv: So as I mentioned, we see an increase of interest in what we are offering. If the meetings that we participate -- in the conference, we participate in the early years and the beginning of the year, we returned with a small number of potential candidates. Now it's much -- the list of potential candidates has increased significantly. And based on this, I believe that we hopefully will start to announce on more additional collaboration agreement with biotech companies at beginning of next year. And we'll start to hear more and more on new collaborations. And hopefully, with -- starting with small biotech companies, maybe even some -- or maybe academic institution, but later on, it will be midsized biotech companies. And in our target at the end of the day is also to engage with pharma company with a significant collaboration agreement. But this will take a little bit more time. But as I said, small biotech companies will start to -- hopefully to be able to announce such collaboration at the beginning of next year.
Operator: The next question. Last quarter, you spoke to doing more IR to drive awareness to the company, but very little seems to be done. What's the IR strategy going forward? And can we rely on it being implemented in short order?
Ofer Haviv: It's an interesting question because we just now discuss here this -- our approach in presenting the company strategy in this analyst call was the right one because it's taken a little bit longer than what we expected. But I think that -- but we all agree that the answer to this question is yes. And how is connected to the question that was just now raised. I think from this analyst call, now we present the first time, our -- the new presentation in an analyst call, where we are describing Evogene in the new structure, focusing on ChemPass AI, the utilization of this technology in the ag and in the pharma and the collaboration that we engaged. And from here on, this will be the main messaging the company would like to share with investors. Yes, we, of course, we will continue to talk about our subsidiary, Casterra, but the main focus will be on what I just now described. And we are now -- and we are planning to initiate roadshows and participate in conferences next year, not necessarily just IR meeting with investors, but also meeting with -- in professional event. And I think that starting from -- actually from -- even from December, we are planning that Evogene and the new story of Evogene will be out there. And hopefully, we'll start to see more and more events, IR events that we will be involved.
Operator: The next question, could you highlight upcoming catalysts over the coming 6 to 12 months? Specifically, when could we expect the first partnership?
Ofer Haviv: So I think, I partially addressed this question. From my perspective, we can envision three type of press releases related to the Evogene new strategy, new collaborations in the Pharma division, meaning that additional biotech companies will use our technology to discover and optimize small molecules for the specific targets. Then expansion of the existing collaboration or new collaboration in the Ag division. I'm talking here, of course, about AgPlenus. And third, and this is something that I think is quite important for us to mention, exactly as we engage with Google in building an important piece in our tech engine, I'm expecting and hoping that there will be additional announcements like this one with companies like Google, the same size of Google or also maybe with Google. And I think that our belief is that we definitely should accelerate the development of ChemPass AI through collaboration with company like Google, in order to keep our competitive advantage in the future as well.
Operator: The next question. What type of revenue level can we expect for castor seeds in Q4 and for 2026?
Ofer Haviv: We can't disclose this information. What I can say is that about Casterra, they are now talking with companies, strategic companies in the field of castor oil, companies that can really have a significant effect on the company revenue in the future. When this discussion will materialize, of course, we will share this information with our investors. But I think this is a good news that even in the past, we were talking about specifically one partner that we already disclosed its name, ENI. But I think that today, we believe that there is additional opportunity for companies that can have the same effect on Casterra that we are now talking with them. And there is more than one like this. So when this discussion will materialize into agreement, of course, we'll be more than happy to share this information with our investors.
Operator: The next question. How excited are you about AI ChemPass compared to all your other times at Evogene?
Ofer Haviv: I think that this is a very interesting question. I think that for many, many years, Evogene was focusing mainly on the ag sector. And I think that we succeed to go through some significant technology breakthrough. But from different reasons, and I don't want to get into it, the ag sector don't give you a financial trend to such an achievement from different reasons. I think the pharma, the situation is different, and I think that, first, the fact that we are focusing on the pharma industry, yes, we are still in the ag industry with respect to AgPlenus, but our main focus is going to be on the pharma industry. So I think this is the right decision for Evogene. In addition, the type of people that are working here in Evogene is people that hold a PhD degree. And this is very important, when you're talking about AI, because if you really want to be a player in AI, with all the respect to first degree or second degree, it's not enough. You need to have a much broader understanding in computational science in order to be -- to act as a player in AI industry. So I truly believe that we have the right people for the right challenge. And again, based on initial validation we conduct here in Evogene, based on the discussion we conduct now in the last bio conference. I would like to say the following, if we will succeed to mimic the same success Evogene demonstrate in the ag industry. If we succeed to do so in the pharma industry, our company will be something that everybody will be proud to participate in our journey. We have been there. We succeed to work with all the world -- all the big companies in the pharma industry -- in the Ag industry. I hope that we'll be able to do exactly the same, but this time, the financial rewards will come after the efforts that we are going to invest.
Operator: There are no further questions at this time. Mr. Haviv, would you like to make a concluding statement?
Ofer Haviv: Yes, I would like to thank everybody in participating in this analyst call. For me, it was a very unique presentation, where we present for the first time, the new Evogene story, with the new presentation. And I really hope that in the next analyst call, we will have much more to share with you, along the guidelines that I just now described.
Operator: Thank you. This concludes Evogene's Second -- Third Quarter 2025 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.